Operator: Good day, ladies and gentlemen and welcome to Legacy Housing Corporation First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to Curt Hodgson, Executive Chairman of the Board. You may begin.
Curtis Hodgson: Thank you for joining the call today. Before we begin may I remind our listeners that management's prepared remarks today will contain forward-looking statements which are subject to risk and uncertainties and management may make additional forward-looking statements in response to your questions. Therefore the company claims the protection of the Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from management's current expectations, and therefore, we refer you to a more detailed discussion of the risk and uncertainties in the company's annual report filed with the Securities and Exchange Commission. In addition any projections as of the company's future performance represents management's estimates as of today's call. Legacy Housing assumes no obligation to update these projections in the future unless otherwise required by applicable law. Now let me turn to a discussion of our view of the industry, our first quarter performance and provide additional corporate updates. I will then turn the call over to our CFO, Jeff Burt to discuss the financials in more detail. We still continue to believe that demand for affordable housing is strong and there is a path for incremental growth over the next couple of years. Our industry in particular is a real viable solution to the housing affordability crunch.  Nationally, shipments of 2019 are not tracking to quite that was of manufactured home shipments through the first three months of 2018. We do not view this as indicative of a long-term trend or having a significant impact on our 2019. The softening in demand we experienced in Texas and Louisiana in December of 2018 relative to the year prior did continue into January of this year, relative to the year prior. And this was primarily weather-related and maybe a little bit related to the lift we had last year from the two hurricanes.  Home sales have shown steady increases month-and-month this year and we anticipate this trend to generally continue into the second quarter and through the remaining part of this year. To give you some idea of what we are referencing, our non-financed sales revenue in February was 48% higher than in January and then 34% higher in March than in February.  Overall, we had a very good first quarter with net revenue of approximately $38 million compared to $42.7 million net revenue in the same period in 2018. However, the first quarter of 2018 was right after hurricanes Harvey and Irma and included home sales of approximately $8.9 million as a subcontractor operating under contract with FEMA. Excluding the FEMA home sales that we did last year, there was a net increase in organic net revenue from the first quarter of $4.2 million or 12% improvement. Net income was $7.2 million in the first quarter of 2019 compared to 5.4 million for the comparable period in 2018 or a 33% increase in net income. The biggest revenue and margin drivers were our sales on manufactured home park notes and our financed sales to consumers, which Jeff will cover in more detail.  As you may know we also have two of our own lamination plants, one in Texas and one in Georgia. We saw a market increase in the sales to third party to laminated products and other materials and parts but those sales more than doubling from the first quarter of 2018 compared to this year's first quarter. The company continues to move forward on several land development projects, and is making good progress.  We believe these efforts will be profitable beginning next year and will be a foundation to keep our plants operating at or above current production levels for several years.  The SG&A increase that you are seeing in our financials was due in large part to two factors. First, our own company stores are ramping up and they require significantly more staffing than wholesale efforts with the corresponding benefit of booking sales at retail prices as opposed to wholesale prices. Second, we absorbed the entire cost of our 2018 audit together with some incentive stock options to key executives in the first quarter and these particular expenses will not be a significant for the next three quarters.  Our business is solid. We are running our production levels very similar to last year and continue to sell our products to maintain our production levels. All of our portfolios are performing well. As for tariffs on items we import from China, we recently announced a price increase and the announcement has not encountered any resistance.  Finally, on April 12, 2019 we announced that our Board approved a share buyback program of up to $10 million of outstanding common stock. On April 17th the company purchased 300,000 shares of its common stock at a price of $10.20 per share. We remain open to other opportunities to repurchase shares of our common stock if the right situation presents itself, as well as other opportunities in our space that we believe makes sense.  I will now turn the call over to Jeff Burt to discuss the financials in more detail. 
Jeff Burt: Thank you, Curt. We're pleased with our first quarter results. Total product sales were $31 million for the first quarter compared to $37.4 million for the same period in 2018. You got it to keep in mind that 2018 figures included a $8.9 million in FEMA sales Curt had already referenced. I want to highlight a couple of key growth areas. Our sales using MHP notes was over $12.5 million in the first quarter which was approximately $5.5 million more than it was in the first quarter 2018. Sales on installment notes to consumers was over $5.5 million, compared to $3.4 million in the same period in 2018 or a 61.8% increase.  The cost of product sales for the first quarter of 2019 was $21.9 million, down over 26% from Q1 of 2018, which had approximately $27.6 million in product sales costs. Overall, our profit margins associated with our product sales was 31% for the first quarter versus 26% in the same timeframe in 2018. This was due in large part to the fact we are selling more of our products to manufactured own parts and to our company-owned stores both of which carry higher sales margins. For example, our company-owned stores had sales of over $3.3 million in this year's first quarter compared to approximately $2.5 million of sales in the first quarter of 2018 or 32% increase in company-owned stores.  We experienced a 35% increase in SG&A expenses to $6.5 million. These expenses increased due to cost of operating as a public company, including accounting and personnel costs as well as the cost of ramping up the operations of our company-owned stores, specifically including the three stores that opened at the end of 2018. Income before taxes was $9.2 million for the first quarter of 2019 compared to approximately $9.4 million in the comparable period for 2018. Income tax expense for this year's first quarter was $2 million, compared to approximately $4 million in 2018. This decrease in tax expense was primarily attributable to the one-time recognition of deferred taxes of $2.1 million in the first quarter of 2018 related to the partnership conversion to a corporation. Net income was $7.2 million in the first quarter 2019 compared to $5.4 million for the comparable period in 2018, which equates to a 33% increase in net income. Net income per share for the first quarter of 2019 based on basic and diluted weighted average shares outstanding was $0.29 versus $0.27 for the comparable period in 2018.  We continue to see growth in our loan portfolio. Our consumer loan portfolio outstanding principal balance increased by $1.7 million in the first quarter of 2019 to $98.9 million inclusive of the allowance for loan loss and other discounts. Our manufactured home park loan portfolio outstanding principal balance increased by $4.6 million to a total of $62.5 million, an 8% increase from the end of 2018. Lastly, equity grew to approximately $203.4 million, up approximately $14.2 million from 2018 year end.  Curt, that completes our financial report. 
Curtis Hodgson : Thanks, Jeff. The first quarter was encouraging, especially the upward trends we saw in sales as the quarter progressed. We're executing our overall plan well in all of our distribution channels but obviously there is always room for improvement. We were particularly pleased with the excellent performance of our sales and financing activities with manufactured home parks and communities.  Overall, we’re encouraged by the direction we're headed as we said here in the second quarter and look to the horizon of the remainder of 2019. We'll not take any questions at this time, but we certainly welcome you to contact us to discuss things on a one-on-one basis. You can contact us at investors@legacyhousingcorp.com for more information at the scheduled time to discuss the results in our company. Thank you for your interest and attention today. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect. Everyone, have a great day.
End of Q&A: